Operator: Good morning and welcome to Kirby Corporation 2021 First Quarter Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to hand the conference over to Mr. Eric Holcomb, Kirby's VP of Investor Relations. Sir…
Eric Holcomb: Good morning and thank you for joining us. With me today are David Grzebinski, Kirby's President and Chief Executive Officer; and Bill Harvey, Kirby's Executive Vice President and Chief Financial Officer. A slide presentation for today's conference call as well as the earnings release which was issued earlier today can be found on our website at kirbycorp.com. During this conference call, we may refer to certain non-GAAP or adjusted financial measures. Reconciliations of the non-GAAP financial measures to the most directly comparable GAAP financial measures are included in our earnings press release and are also available on our website in the Investor Relations section under financials. As a reminder statements contained in this conference call with respect to the future are forward-looking statements. These statements reflect management's reasonable judgment with respect to future events. Forward-looking statements involve risks and uncertainties and our actual results could differ materially from those anticipated as a result of various factors including the impact of the COVID-19 pandemic and the related response of governments on global and regional market conditions and the company's business. A list of these risk factors can be found in Kirby's Form 10-K for the year ended December 31st, 2020. I will now turn the call over to David.
David Grzebinski: Thank you, Eric and good morning everyone. Earlier today, we announced a net loss of $0.06 a share for the 2021 first quarter. The quarter's results were heavily impacted by the continuing effects of the COVID-19 pandemic and winter storm Uri, which brought extreme cold temperatures to the Gulf Coast during February and virtually shut down the Gulf Coast refining and petrochemical industry for the balance of the quarter. I'd like to start by talking specifically about the major winter storm and the significant impact it had on Kirby and our customers. It has essentially pushed back our recovery a full quarter. The storm descended into Texas and Louisiana in mid-February bringing with it a severe cold wave. During the storm the Texas electric grid collapsed plant infrastructure and pipelines froze and business came to an abrupt halt. Our customers' facilities were forced into hard emergency shutdowns which contributed to unit damage even beyond what typically happens with events like hurricanes where an orderly shutdown can be planned and implemented. As a result refinery and chemical plant utilization and production levels plummeted for an extended period. In the refining complex utilization in PADD 3 which is the Gulf Coast declined to 41%. This represents the lowest level on record in EIA's published data. It did not fully recover back above 80% until the end of March. In petrochemicals, the impact was also extensive stretching across the entire Gulf Coast petrochemical complex and impacting our major customers. Operating rates at nameplate ethylene plants in Texas declined from 86% in January to the year 40% in February and March corresponding to the 51% decline in production and feedstock consumption. At the height of the storm, the majority of capacity and production was offline including 75% of US ethylene capacity, more than 80% of US olefins capacity, 90% of ethylene glycol production, more than 80% of polypropylene production, 65% of propylene production, and over 60% of epoxy resins production. Overall, the damage was so widespread and severe that some of our largest customers have just recently restarted their plants and are not yet back to full production levels. With this impact on our customers, it goes without saying that Kirby's businesses were also significantly impacted, particularly in inland where demand and overall volumes materially declined in February and through a large portion of March. As you would expect this had a negative impact on pricing which had stabilized prior to the storm. Distribution and services was also impacted by the storm with most of our locations in Texas, Oklahoma, and Louisiana closed for several days contributing to reduced activity lower revenue and project delays. Overall, we estimate the winter storm directly contributed to losses totaling approximately $0.09 per share during the first quarter. Looking at our segments, in Marine Transportation the inland market started the quarter with gradually improving demand as economic activity was improving and refinery utilization had returned to levels not seen since the summer of 2020. However, this upward momentum sharply reversed as the winter storm set in and refineries and chemical plants along the Gulf Coast abruptly shut down. These weak market conditions contributed to continued pricing pressure in the quarter, with further reductions in both average term and spot pricing. However, towards the end of the quarter refinery utilization recovered to over 80% and most chemical plants came back online. As a result our barge utilization recovered late in the quarter and by early April, it was over 80%. Importantly, this improvement contributed to stabilization and modest gains in spot market pricing in the last few weeks. In coastal for the quarter market dynamics were largely unchanged sequentially, with continued low demand for refined products and black oil transportation. This contributed to minimal spot requirements and low barge utilization. In Distribution & Services, we experienced improved demand throughout much of the segment, which contributed to sequentially higher revenues and a return to positive operating income. The most significant improvement came from our oil and gas businesses, which experienced increased demand as US rig counts and frac activity continue to recover from lows seen in the pandemic. In manufacturing, incremental orders and deliveries of new environmentally friendly and remanufactured pressure pumping equipment as well as some seismic equipment contributed to the quarter's results. There was also increased demand for new transmission parts and service in our oil and gas distribution business from major oilfield customers. In commercial and industrial, the continued recovery resulted in sequential improved demand levels in our on-highway and power generation businesses. Marine repair activity also increased with higher demand for major overhauls following the dry cargo harvest season in the fourth quarter. These gains, however, were offset by reduced product sales in Thermo-King as a result of supply chain delays and lower new engines sales in Marine repair. When combined with closures and lower activity associated with the storm, there was an overall sequential reduction in commercial and industrial revenues. In summary, the first quarter was tough and the freeze ultimately pushed back our recovery. In a few moments, I'll talk about the remainder of 2021, including our more favorable outlook in the second half of the year. In the meantime, I'll turn the call over to Bill to discuss our first quarter segment results and the balance sheet.
Bill Harvey: Thank you, David, and good morning, everyone. In the 2021 first quarter, marine transportation revenues were $301 million with an operating income of $1.9 million and an operating margin of 0.6%. Compared to the 2020 first quarter, marine revenues declined $102.3 million or 25%, and operating income declined $48.8 million. The reductions are primarily due to lower inland and coastal barge utilization significantly reduced pricing in inland and the impact of the winter storm. These reductions were partially offset by the savage in the Marine asset acquisition, which closed on April 1, 2020. Compared to the 2020 fourth quarter, revenues increased slightly by $1.5 billion, inclusive of increased rebuilds related to higher fuel prices, partially offset by a reduction in freight revenue. The reduction of freight revenue included lower pricing and volume reductions as a result of the winter storm. These were partially offset by a modest sequential increase in overall barge utilization. Operating income declined $27.2 million, largely due to the impact of significant disruptions and winter store related volume reductions, particularly as it related to contracts of affreightment as well as lower term and spot pricing in inland, also contributing for seasonal wind and fog along the Gulf Coast flooding on the Mississippi River and ice on the Illinois River. Additionally, we did incur increased maintenance employee costs in the quarter's results as we began to ramp-up our operations in anticipation of increased activity levels. This will continue in the second quarter. During the quarter, the inland business contributed approximately 75% of segment revenue. Average barge utilization was in the mid-70s range, representing a significant reduction as compared to the low to mid-90s range in the 2020 first quarter, but up from the high 60s range in the 2020 fourth quarter. Barge utilization continued to be impacted by the effects of COVID-19 as well as reduced refinery and chemical plant volumes as a result of the winter storm. Long-term inland marine transportation contracts are those contracts with a term of one year or longer contributed approximately 65% of revenue with 61% from time charters and 39% from contracts of affreightment. Term contracts that renewed during the first quarter were down in the high single digits on average. Average spot market rates declined approximately 5% sequentially and 25% to 30% year-on-year. However, late in the first quarter, rates stabilized and started to move off the bottom. During the first quarter, the operating margin in the inland business was in the low to mid-single digits. In coastal, our business continued to be challenged by significantly reduced demand for refined products in black oil as well as weak spot market dynamics. During the quarter, coastal barge utilization was in the mid-70s range, which was unchanged sequentially, but down from the low to mid-80s range in the 2020 first quarter. Average spot market rates and renewals of term contracts were generally stable. During the first quarter, the percentage of coastal revenue under term contracts was approximately 80%, of which approximately 85% were time charters. Coastal's operating margin in the first quarter was in the negative mid-single digits. With respect to our tank barge fleet, a reconciliation of the changes in the first quarter as well as projections for the remainder of 2021 are included in our earnings call presentation posted on our website. Moving to Distribution and Services. Revenues for the 2021 first quarter were $195.9 million with an operating income of $2.9 million and an operating margin of 1.5% compared to the 2020 first quarter, Distribution and Services revenues declined $44.8 million or 19%, and operating income declined $0.8 million. These reductions are primarily due to the pandemic lower oilfield activity in the winter storm, with the impact to operating margins mitigated by significant cost reductions throughout 2020. Compared to the 2020 fourth quarter, overall demand for our products and services steadily improved, with revenues increasing $5.6 million or 3% and operating income increasing $5.8 million. Favorable sales mix contributed to the increase in operating income. In commercial and industrial, increased economic activity results in improved demands for parts and services in the on-highway, power generation and marine repair businesses. However, lower sales of Thermo King products, reduced deliveries of new marine engines and closures associated with the winter storm resulted in an overall sequential reduction in commercial and industrial revenues. During the first quarter, the commercial and industrial businesses represented approximately 68% of segment revenue. Operating margin was in the mid-single digits and benefited from favorable sales mix. In oil and gas, improving market dynamics in the oilfield contributed to sequential increase in revenues and operating income during the first quarter. Our manufacturing businesses experienced sequential improvement with increased orders of new and environmentally friendly and remanufactured pressure pumping equipment for domestic markets and seismic units for international markets. Our oil and gas distribution businesses also improved sequentially with improved demand for new transmissions, parts and services by major oilfield customers but was partially offset by facility closures during the winter storm. For the first quarter, the oil and gas-related businesses, represented approximately 32% of segment revenue and had a negative operating margin in the mid-single digits. Turning to the balance sheet. As of March 31, we had $52 million of cash and total debt of $1.35 billion with a debt-to-cap ratio of 30.4%. During the quarter, cash flow from operations was $103 million, which included a tax refund of $117 million. In the quarter, we repaid $120 million of debt and use cash flow and cash on hand to fund capital expenditures of $14 million. At the end of the quarter, we had total available liquidity of $776 million. Looking forward, capital spending in 2021 is expected to be approximately $125 million to $145 million, which represents nearly a 10% reduction compared to 2020 and is primarily composed of – free cash flow of $230 million to $310 million in 2021. I'll now turn the call back over to David. 
David Grzebinski: Thank you, Bill. Although the first quarter was very challenging, many of Kirby's businesses are seeing more favorable market conditions and improving levels of demand. I'll talk more about the anticipated recovery in each of our major businesses in a moment. But overall, we expect a sequential increase in revenues and a return to profitability in the second quarter. That said, the improvement in the second quarter will be muted due to the effect of lower pricing on contracts renewed in recent quarters, as well as increased spending in anticipation of a much busier second half. We anticipate improvement in the third and fourth quarters, as the economy continues to recover refinery and chemical plant production continues to grow and our barge utilization improves above the 82% to 84%, we've seen in April. In the inland market, with our barge utilization starting in the second quarter over 80%, most refineries and chemical plants back online and improving weather conditions, we expect better results going forward. From a macro viewpoint, the economy is steadily improving and pent-up demand is significant. The winter storm reduced product inventories. And with higher commodity and product prices and increasing crack spreads, the economics for our customers are becoming increasingly more favorable. We believe this will drive increased production in the coming months, which should bode well for the inland market. With little construction of new barges and retirement of barges occurring across the industry, we expect an improvement in the spot market and our barge utilization to move up into the high 80% to low 90% range in the second half of the year. Market conditions are looking more favorable and spot market pricing appears to have bottomed, as we are now seeing some positive momentum. However, we expect it to take some time for reduced pricing on term contracts, which were renewed lower last year and during the first quarter to reset. Overall, in the second quarter, we expect revenues and operating income will sequentially improve due to higher barge utilization, improved weather and more favorable operating conditions. However, as mentioned, certain costs, including maintenance horsepower and labor are expected to increase in the second quarter, as operations ramp up. Beyond the second quarter, we do expect third and fourth quarter revenues and operating income to meaningfully improve with better spot market dynamics. On a full year basis, as compared to 2020, given the tough first quarter and second quarter – anticipated second quarter, we continue to expect revenues and operating income will be down year-over-year. The lower average barge utilization, reduced term contract pricing and the impact from the recent storm are the main drivers for the anticipated year-over-year decline. In coastal, our outlook has not materially changed. We expect coastal second quarter revenues and operating margin will be similar to the first quarter. However, we do expect coastal market conditions will begin to improve in the second half of the year, as demand for refined products and black oil increases, resulting in higher barge utilization and reduced operating losses in the second half of the year. Looking at Distribution and Services, we expect further growth in the second quarter and the remainder of 2021, driven by a more robust economy and increased activity in the oilfield. In commercial and industrial, we anticipate continued improvement in on-highway, with increasing truck fleet miles, some recovery in bus repair and increased parts sales, as a result of our new online sales platform. We also expect increased Thermo King product sales. And in power generation, demand for new equipment parts and services is expected to grow as the need for 24/7 power becomes increasingly more important. In marine repair, although activities remain strong, we do expect a year-on-year reduction in revenues, primarily due to reduced new engine sales. In oil and gas, we believe current oil prices will contribute to increased rig count and well completions as 2021 progresses. As a result, we expect to see higher demand for new engines and transmissions, parts and service and distribution as well as increased remanufacturing activities on existing pressure pumping equipment in the coming quarters. With respect to manufacturing of new equipment an intensifying focus on sustainability and the desire of many of our customers to reduce their carbon footprint will likely result in increased demand for Kirby's portfolio of environmentally friendly equipment during the remainder of the year. Currently, we anticipate increased sales of new electric and dual-fuel pressure pumping equipment as well as natural gas power generation equipment. For Distribution & Services in the second quarter, we expect the economic growth anticipated manufacturing deliveries and increased Thermo-King product sales will drive sequential improvements in segment revenues and operating income with margins rising into the low to mid single-digits. For the full year, our expectations have not materially changed. We anticipate significant year-over-year growth in revenues and operating income with commercial and industrial representing approximately 70% of segment revenues; and oil and gas representing the balance of 30%. We expect D&S margins will be in the low to mid single-digits for the full year with the first quarter being the lowest and the third quarter being the highest with the expectation that normal seasonality will likely result in some reduction in operating margins in the fourth quarter. In conclusion, the first quarter's results were disappointing. Although we expected lower pricing and winter weather to contribute to a sequential reduction in first quarter revenues and earnings, the winter storm threw us and many of our customers a curveball. Ultimately, the storm was a disaster for the State of Texas and created significant disruptions across the industry supply chain that will likely be felt for many months to come. We do anticipate improving markets as the pandemic eases and demand continues to rise, especially since product inventories for certain refined products and chemicals have fallen significantly in a very short period of time. Also prices for many finished goods including refined products plastics and other consumer products are escalating at rapid rates. As a result, many of our customers are working hard to ramp up production which will ultimately be positive for our outlook. So while the winter storm pushed back our recovery, looking forward the underlying economic outlook remains strong. As a result, we firmly believe we will see improving results for the balance of the year. Operator, this concludes our prepared remarks. We're now ready to take questions. 
Operator: Thank you. [Operator Instructions] And our first question comes from Jack Atkins from Stephens. Your line is now open.
Jack Atkins: Okay. Great. Thank you for taking my questions. Good morning everyone.
David Grzebinski: Hey, good morning, Jack. How are you?
Jack Atkins: Doing great, David. Thank you. So I guess maybe if we could start on inland. Can you help us think about the cadence of contract renewals as you move through the year? Because it sounds like -- obviously you're expecting things to get significantly better in the second half. So can you walk us through sort of how those contract renewals are distributed as you move to the next maybe three or four quarters? And I guess more broadly, what level of utilization do you think you need to see before contract rates start to move higher sequentially and you start seeing a more meaningful improvement in spot rates?
David Grzebinski: Yeah. Well let me take the last question first because we're there.
Jack Atkins: Okay.
David Grzebinski: Yeah. As of this morning we hit -- we were above 85% utility. In the last couple of weeks, we've seen spot market pricing improve a little. That said, first quarter was tough and we saw sequential decline in spot pricing. It was down sequentially 5% on spot pricing. Term contracts rolled over down maybe high single-digits. So first quarter is really tough and we've got to work through that term contract portfolio. About 65% of our revenues are term contracts two-thirds of those roll over in about 12 months. So to your point, we need contract pricing to start to move upward. The first step is really to get spot pricing moving and that's starting now. We're extremely busy. As you heard in our prepared remarks there's a lot of good news out there. Our customers across the board are returning to profitability. You can see the refiners are making money now. The integrators are making money now. The chemical companies are making money now. And even pressure pumpers are doing better. So things are really improving. Refinery utility hit 89% in PADD 3 last week. Some of our public company refining customers said that they were going to be in the low 90s in terms of refinery utilization here in the second quarter. Commodity prices are up. Crack spreads are up. Airlines are hiring pilots now. And even the CDC came out and said that cruise lines could start operating in July. So when we look at that and we see how much our utility has jumped up in the last few weeks, we're pretty constructive. More than pretty constructive we're downright positive. Our activity is growing and it's going to get really sporty here. We've been hiring mariners. We've started up our school in January in anticipation of more volumes coming our way and what's happening. So that's a long-winded answer to say the utility is improving and as you know Jack once that utility starts to get above the mid-80% pricing starts to go the other way. And particularly given the outlook, I think it's going to stay that way and start to ramp up. Now in terms of when everything -- price resets as you know with term contracts it's going to take a while right? I mean they roll off kind of ratably over 12 months so it will take a while. The good news is, 35% of our portfolio is spot pricing and that will move a little faster. 
Jack Atkins: Okay. That's all really encouraging to hear. You're right the outlook is very positive. I guess my follow-up question David I think as we look forward there's a substantial amount of earnings power within your three different business lines. There is inflation on the broader economy though. And it's been a tough 12 months. I mean how are you thinking about the long-term earnings power of the business? Has that really changed in your mind given what's happened over the last 12 months, or do you still feel like this is a business that over time can see margins in the 20s, if you can get multiple years of solid price increases? 
David Grzebinski: Yes. The short answer is yes. We feel that we've got a lot of earnings leverage and we can on inland get back into kind of the 20% margin. I would tell you look second quarter is going to be muted. We still have the low pricing that we're working our way out of. And as utility ramps up, we're having to spend some money to get utility back get some equipment off the bank. So I think second quarter margins are going to be muted. They should be better than the first quarter, but it will still be a tough quarter. But as we get into third quarter it's going to start to ramp. I think we'll see inland margins into the double digits in the third and fourth quarter. I do think it's hard to predict, but 2022 we could start to get in the mid-teens and higher maybe in the high teens. We'll see how that all plays out.  As you know a lot can change in a short period of time with the economy. I do think inflation is a positive thing for Kirby. Clearly wage inflation is a headwind, but when you think about commodity inflation and just inflation in general, when you've got a huge fixed asset base like we do with our barges and their long-lived assets the replacement cost of that asset base goes up with inflation. And of course that makes it harder for new supply to come into the barge market which is a good thing. So in general inflation is a good thing for us outside of kind of wage inflation. We are seeing some pressure on hiring. It's harder to hire people. But that said, we've started classes at our school here. At Kirby as you know we've got the only school that can issue a Coast Guard license to our mariners. And we've been -- we started classes in January ramping up in anticipation of what we're starting to see now. 
Bill Harvey: Jack, I might just add on the inland marine side for instance one thing that's happened over the last year has not just been hunkering down, but there were really huge strides in a lot of areas. Like for instance when you look at the acquisition of Savage there's less SG&A number just now than there was before Savage. So I think there's been a lot of steps taken there not just focusing where we could just get better. So I really do think that the actual inland marine business is better now than it was a year ago. 
Jack Atkins: Absolutely. That’s great to hear. Thanks again for the call guys.
Bill Harvey: Thanks.
Operator: Our next question comes from Randy Giveans from Jefferies. Your line is now open. 
Randall Giveans: Howdy, gentlemen how’s it going?
Bill Harvey: All right, Randy. How are you?
Randall Giveans: Great. So I guess starting with D&S, nice to see that kind of back in profitability and you mentioned right continued improvement throughout the year. So which business segments for the D&S will be kind of the main driver of this improvement? And also D&S business obviously smaller now than it's been in previous years. So what kind of income can it contribute maybe on a quarterly basis by the end of the year? Are we thinking $5 million, $10 million, $20 million? 
David Grzebinski: Yes. So in D&S as you know we've got our manufacturing business which is largely oilfield related and then we've got the commercial and industrial business. What we're starting to see is the manufacturing business is starting to ramp up. Our labor utilization is in the mid to high-90% range. We're hiring people. And what that's about Randy is our customers are very sensitive to their carbon footprint and we have been taking orders for environmentally friendly frac equipment for example electric frac equipment, power generation equipment that drives electric frac equipment. It's -- the inbound has been pretty good. But as you know we use -- we don't have the percentage completion accounting. So it's kind of -- we can't book the revenue until it ships. So that's going to take a while to come through the income statement. As you heard in our prepared remarks, the third quarter is going to be a little better. First quarter was the worse. And I think second quarter will be better than first quarter. Third quarter will be the best and then seasonality will impact the fourth quarter. But when you look at D&S in general, revenue year-over-year will be up, I think, earlier in the year we said 30%. I would tell you it's about 20% now, maybe better than that, because we're getting a lot of traction with our environmentally friendly equipment. In commercial and industrial, we're starting to see the on-highway business start to pick up. Our labor utilization has been improving. We've been hiring there as well. So in general, it's getting better across D&S year-over-year up 20% in revenue. Margins this year -- well this quarter were kind of low single-digits. I think for the year, we'll average around 5% kind of mid single-digits. I think as we get into next year given our cost structure is so much leaner in that business, I think, we'll get into the high single-digit margins next year.
Randy Giveans : Wow, okay. And then looking on the inland side turning back to that, obviously, you're very positive on inland barge utilization right with your expectation for high 80s, low 90% later this year. That said, what are your thoughts on pricing right? When do you expect pricing to maybe reach those pre-COVID levels? And then when do you expect kind of customers to go back to term instead of just keep relying on spot pricing?
David Grzebinski: Yes. No, I think spot pricing is starting to move now. We're starting to see here in recent weeks an upward movement on spot contracts. I think it's going to take a while before that gets into term contract pricing renewals, but it's not far off. It's -- we just have to have spot pricing get back above contract pricing, which it will and it's starting that before you start to see the term contracts move. The good news and you've heard us say this before when you get utility in that mid-80% range and it looks like it's going to stay there -- and actually right now it looks like it's going to get even more sporty than that, pricing should move really, really nicely in the coming quarters. So I'm not sure if that answers your question, but all the things are lining up for improvement. Now I don't think we'd get back to the pricing we saw pre-pandemic for a few quarters. It just takes a while. I mean, it's like turning an aircraft carrier right to get all these contracts to roll over and it just takes time. It's -- the average length of the term contract is probably 12 months, right? I mean, we do have some multiyear, but the average is 12 months, and they kind of roll ratably per quarter, so it just takes time. It will happen though. I would tell you we're about as enthusiastic about what utility is looking than we've been in years.
Bill Harvey: And when we say contracts over 12 months' term those are typically long-term contracts where we add a lot of value and it's a strong relationship. And they haven't really been impacted with the volatility we've seen over the last year because of the pandemic, those are long-term good contracts and not drags on us.
Randy Giveans: Got it. And then just quickly to quantify that, you said it might take some quarters to get from where we are now on spot to where we were pre-COVID. But spot levels -- spot prices are rising. Is that -- are we 20% below, 50% below? Where are we relative to pre-COVID levels on current spot pricing?
David Grzebinski: Yes. It's -- I think spot prices are down 25% to 35% from where they were pre-COVID.
Bill Harvey: And Randy when you think of spot prices remember that spot for us occurs over a couple of months. So they're not built long, but it still takes time for voyage for trips to end and then new trips to begin and pricing. So that's why when we say we were muted in the second quarter it's simply, because it takes a couple of months in order to start to transition.
Randy Giveans: Sure. Yes these aren't five-day voyages.
Bill Harvey: Exactly. 
Randy Giveans: Yes. Thanks so much fellas.
Operator: Thank you. And our next question comes from Ken Hoexter from Bank of America. Your line is now open.
Ken Hoexter: Great. Thanks.
David Grzebinski: Good morning Ken.
Ken Hoexter: Just when you talk -- just to revisit that last question there. When you talk about the time utilization has moved up to 85%. I just want to clarify it takes a couple of quarters historically I think you guys have talked about for pricing to get back. But I guess to dig into that you've seen those pricing competitors go away and you're clearly seeing the market accelerate faster. Do you think it's the same time frame as you've talked historically, or does the tightness and the speed of the rebound matter to get that a little quicker, or is it still all dependent on the contract timing? 
David Grzebinski: Yes. It's all of the above really Ken. The speed of this thing has been surprising. When you look at first quarter, I think we averaged -- I'm looking at Eric here -- at 75% utility. And he's nodding so -- and now we're at 85%, right? So in the course of essentially a month we've added 10% utility. I think that momentum continues. I don't know that in the next month we'll be at 95% certainly not. But it's pretty sporty now. And I think the faster that utility goes up the more -- the faster the spot pricing will go. Is it going to be similar to what we've seen in past cycles? It -- actually pricing may increase faster than in prior up-cycles just because the snapback has been so strong. But there's no guarantees to that. There -- a lot goes into pricing, but this is a pretty good environment right now. And across our industry, we're pretty hungry. We've been -- it's been a tough 1.5 years and all of our competitors are -- have been hurting including us. So -- and then the other thing is, there's been limited new construction. I think the order book this year is -- essentially any new orders has been non-existent. We understand from our polls that there's about 36 barges to be delivered this year. All of those were ordered essentially over a year ago. So, no new construction a pretty sharp snapback in utility, a bunch of hungry barge operators here that have been really suffering. It's lining up pretty good. But for me to say well it's going to be up 25% in a quarter I don't think that's the case. But it should be pretty sporty.
Ken Hoexter: Okay. So when you're looking at the inland market fundamentals, you're not seeing any, kind of, obviously you just mentioned the order book is really thin continued retirements so not seeing any. How about the cost side of the equation? Incremental costs as you mentioned tugs, new boats needed for the snapback to mute this. And any update from what you're hearing from the refineries?
David Grzebinski: Yeah. No, the cost structure is going up. I would say, we will see some wage pressure. We will give our mariners a raise this year. They richly deserve it to be honest. But we're going to see some wage pressure a little bit. We're seeing food, obviously, energy costs if you look at -- fuel costs are up, supplies are up. But it's still I would say 3% to 4% inflation right now. Steel is obviously a whole another ball game, but we're happy with steel prices going up because that means nobody will build or there will be muted building. So, yeah, we'll have a little inflationary pressure on the cost side for sure, but we -- pricing should definitely be able to take care of that easily. And your second question, I'm sorry what -- oh refineries what are they saying. Yeah, they've been very positive. Crack spreads have come back out. We're starting to see jet fuel come back. I don't know if you've flown in a while. But look the leisure traveler is back. Leisure travel is way up. The business travel really hasn't come back as much yet. So the refineries are still a little hungry to see more jet fuel. That said the airlines are hiring pilots in anticipation of a much stronger June is what some of them have said. Some of our refiner customers have said they're targeting 92% utility -- 90%, 92%, 94% utility in the second quarter and preparing for the summer driving season. So it's pretty constructive. I think they had a rough time. We all had a rough time through this pandemic and they're happy to get back running. I would say the mood music from all our customers is about as positive as we've seen in years to be honest.
Ken Hoexter: That's really nice. So if I can just sneak one more in, in terms of your perception your historical perception, perspective I guess just with past recoveries. I mean, how do you view this, I don't know maybe go back to 2015, 2016 or anything even prior to the speed with which you're looking at on this recovery?
David Grzebinski: Yeah. That's a great question. I'd like to think that it's going to be faster because it was -- it went down faster so it should come back faster. But it's always risky to think -- to say that it's going to come back faster than it has in prior cycles. Famous words it's different this time it's always a dangerous thing. But look it did go down faster than we've ever seen. I think it's -- look 10% utility in one quarter has been pretty sharp. We've never really seen that movement. So maybe it comes back faster. I just -- I'm hesitant to say it's a whole lot different this time. But it did go down sharply and hopefully it comes back shortly.
Bill Harvey: And one thing to add on that is simply that the deep freeze was like -- basically that market was recovering at the end of January. And then the deep freeze drove things like PADD three to levels well below it's ever been before the refineries. So it's the combination of where we had a recovery that was very nice coming up and then we had the deep freeze that dissolved it and drove it down. And the rebound off of that is pretty significant as things have recovered. So the combination of the two makes it unprecedented. And the line -- if you just look at our utility going up the slope of that line over the last bit has been pretty steep. And we compare it internally we just don't see that.
Ken Hoexter: Very helpful. Thanks Dave. Appreciate the time. Thanks.
David Grzebinski: All right. Thank you. Take care.
Operator: Thank you. And our next question comes from Jon Chappell from Evercore ISI. Your line is now open.
Jon Chappell: Thank you. Good morning.
David Grzebinski: Good morning, Jon.
Jon Chappell: David, I want to revisit an answer to one of Jack's questions. I believe you said in one of the prior conference calls that your operating margin in inland was approaching 20% before the pandemic. But then you mentioned 2022, you might see mid to high teens margins despite all the positive commentary you've given both on the macro and from your customers. I'm just wondering has anything structurally changed with that business where peak or even mid-cycle margins may be lower going forward, or is it just a slower return to where you were early 2020 just given the depth and the duration of this downturn?
David Grzebinski: Yeah. It's more of the latter. Nothing structurally changed. I would tell you actually our cost structure is probably the best it's been in recent years. Yeah, look we hit pre-pandemic, I think one month we hit -- we bumped to 20% on inland margins. Gosh, should we be back to 20% at the end of this year? Boy I'd love to say so. It just -- when you know -- look we know it takes a while to roll these contracts and it's just going to take time. It's almost a math problem more than anything else. You got maybe 20% of your contracts rolling in a quarter. The fourth quarter is always a bigger quarter. It just takes a while for the whole math of the whole portfolio to get the margins up. And the first set of price increases won't be as much as the second set and the third set. So it's almost a mathematical problem more than anything else. I wish we could jump back right to those higher margins. But as a practical matter, it takes a while for that whole contract portfolio to roll.
Bill Harvey: And it does depend on how tight the spot market is and how sharply that goes up because again we have 35% spot and then we have 15% -- or if you take on the average of the first quarter, we have another 25% that was not working. So the math of that is pretty substantial. So we -- it's unprecedented for the company to see things move up as fast as this could happen if it gets really tight. 
Jon Chappell: Yes. Understood. And then David, this frequently comes up, but maybe it's most relevant today than any time in the recent past. I know you're sitting with $776 million of liquidity. You just mentioned that the entire industry has gone through an incredible period of pain. And someone like you are seeing it and I have to imagine others are seeing it in a much worse manner.  I feel like post some of your recent M&A you brought more power in-house, you've modernized your fleet, you've improved your cost structure. Have we seen enough kind of light at the end of the tunnel where maybe some potential sellers think, okay, we're through the worst of it and maybe it's time to roll this industry up a little more, or is it still you need to see margins improve greatly and maybe asset values improve greatly before there may be some natural sellers in the market? 
David Grzebinski: Yes. Look I think there are some opportunities even now, but I think our view would be to delever a little bit more. It's more about our comfort with leverage. And we're going to hurt our free cash flow estimates. We're going to delever a little more get our balance sheet a little stronger, let margins pick up a bit. But certainly, I think there's some consolidation opportunities out there. And yes, it's been another tough period for all of us competitors included. So maybe there's some potential transactions out there. But again near-term, we want to delever the balance sheet a bit more. 
Bill Harvey: And I think one thing on the balance sheet, when you step back and look at it I think you hit on a few points. One of them is that the acquisitions was of new equipment. And so we're in a position now where we're spending about 60% of depreciation in CapEx and it's not because we're restraining and keeping -- and not because we're not doing what we should be doing, it's just simply that new equipment took all that pressure away. So when you step back and look at it, we expect to delever very, very quickly. And we are delevering very, very quickly. And we expect our credit metrics to get to where we can be very comfortable pretty quickly too. 
Jon Chappell: Okay. Understood. Thanks, Bill. Thanks, David.
Operator: And thank you. And our next question comes from Greg Lewis from BTIG. Your line is now open.
Greg Lewis : Yeah. Thank you. And good morning, everybody.
Bill Harvey: Hi. Good morning, Greg.
Greg Lewis : Bill or David, I was hoping -- you called out the $0.09 charge. Is there any way to kind of unpack that? I mean it looks like it was in primarily on the cost side. But I'm just kind of curious as we try to fine-tune the margins here and how we should be thinking about that $0.09? 
Bill Harvey: Yes. As you can expect most of it was in marine and related to most of it inland. And partially it was due to -- as we step back and look at it there was some cost element repairs because there was damage that was about -- that's was about $1 million when you add it across the company including some D&S there. But there was a big portion of it that was related to freight trips. As you know, the business we were frozen in place because of the deep freeze where we couldn't unload, we couldn't load and we were under contracts of affreightment. And that was about two-thirds of it right there. We were just simply -- we couldn't get rid of the horsepower and we're -- because our customers were soft, there was nothing we could do.  And then there were some other things like harbor and other boats outfitted, but unable to work because of shutdowns. What we did not include in there was the lost opportunity cost so to speak of low activity et cetera. So yes, it's basically cost-driven with the fact that one of the costs is we couldn't shed horsepower. 
David Grzebinski: Yes. Let me add a little bit on horsepower, Greg because it's an important thing. Look, we had probably 90 charter boats. And they're great guys and we cut all the way down to about 12 charter boats tried to keep as many on as we could to keep them working. They're a great part of what we do to deliver. And then we tied up probably 40 of our own boats. And it just takes time to bring all that equipment back in cost. And we weren't hiring people during that time. So attrition was working.  So when you think about horsepower and everything that goes around it, it's taking time to ramp that up. And that's why we talked about muted second quarter that's putting that margin pressure. We've got to pull boats off the bank. We've got to rehire charter boats. We've got to train and hire new people. We've been running deckhand classes and mariner classes since the first of the year, which we did in anticipation of it. But my point is this, again, it's just like pricing it's going to take a while to get that up. We're going to have to expend some money. We're doing that, but it's all going in the right direction. 
Greg Lewis : Okay. And it sounds like at this point that's pretty much wrapped up. 
Bill Harvey: Yes. Not on the part David was talking about, but the storm element. But we're going to continue to be ramping up through the second quarter. 
Greg Lewis : Okay. Perfect. And then just another question on D&S. David, I guess I'm curious what's your view on how the fleet looks like? And look -- does the pressure pumping frac fleet locked in? I mean clearly there's questions around some cannibalization. And really you mentioned in your prepared remarks the push to e-frac. How should we be thinking about that as this kind of unfolds this year? I mean you mentioned improving margins. Should we -- are we in a process where really the real benefit from this is going to really be in '22 for you as opposed to maybe second half? 
David Grzebinski: Yes. No, I think we'll see some in the second half, but 2022 will probably be better. I think look they're running about 200 frac spreads now it's my understanding. But they continue to advance their capabilities and they're fracking more with less equipment. So, there's that dynamic. That said, I think one of our major customers said that there's about 10% to 12% retired equipment -- percent equipment retired in a year. And I think anything new that's being added is really ESG-centric. They're going to replace things with either electric or dynamic gas blending just to reduce the carbon footprint. So, that's playing out. I think the good news for Kirby is that we have a great product offering in both electric frac and electrification of the well site where they're doing the completions. So, we're pretty excited about that. There is some remanufacturing for sure. We're starting to see that pick up a little bit. But it's -- I think it's going to be a gradual build. There is still a lot of capital discipline which is good. I think it's healthy. Both the E&P companies and the pressure pumping companies are very capital disciplined. So, I don't think it's going to be a big spike up like we saw like in 2011 in the frac industry where everybody is building as much as they could. It's going to be more gradual more ratable more ESG-focused and I think that just continues to build momentum into 2022. 
Greg Lewis: Perfect. Sounds good to me. Thanks guys.
David Grzebinski: Thank you.
Operator: Thank you. And our next question comes from Ben Nolan from Stifel. Your line is now open.
Ben Nolan: Hey, good morning guys. I wanted to ask a little bit maybe on the barge supply side. I appreciate the color you gave David on the -- I think you said 36 barges you expect to be delivered this year. And we always talk about barge removals. Maybe an update there would be good too. Obviously, you guys are doing some. But one of the things that we've heard happen in weak markets and maybe especially given what we saw in the first quarter as owners put away beach equipment for a little while that it starts to get a little -- well usually it's the worst equipment that that happens to in the first place and bringing it back can sometimes be a little tricky. I'm curious if you think that might be the case here that maybe the industry ramp-up of supply might not be so easy given sort of the stressed balance sheets and equipment that probably needs repair and everything else? Any color around that along with removals there?
David Grzebinski: Yes sure. Yes, we don't know the precise numbers from last year but just thinking about this year we think 36 new builds are -- what we're hearing out there. Gosh that's just a kind of a survey by our maintenance and ops guys. It could be plus or minus five, 10 of that. But just in retirements we're talking 25 planned so far for 2021 just for Kirby. So, just Kirby kind of balances that 36 out. That said I think other people are doing just what you said they put some of their older worse equipment on the bank. We as an industry are still suffering from very low prices. So, I think muted maintenance spending and some of that stuff may be just scrap. With scrap steel prices up a bit the economic decision might drive more retirements. I don't have a great feel for that. I wish I could say it's going to be 120 to 150 barges this year. I just don't know. When things start to get sporty it's amazing how much equipment can come back into the market. That said, it's still a lot of work to get that equipment back and very expensive because as you say we all tied up our older equipment and it tends to be the worst equipment. And when it's sitting idle it doesn't get better. It deteriorates as you know. So, that's a long answer. Sorry, Ben I wish I could be more precise. But what we do know is 36 on the order book and we're going to retire 25. We feel pretty confident about that. But the bigger picture is how much actually does get cut up across the industry. I'm not sure it's certainly north of our 25. It could be in the 100 -- north of 100. It's just hard to say at this point.
Bill Harvey: And Ben it's really a combination of getting the equipment back in the actual crewing and other things. The supply response to demand will be difficult. As demand spikes up it's hard to take -- it's hard to do the maintenance but it's also hard to crew it. And it's not just Kirby in that side it's everybody.
Ben Nolan: Sure. No, I appreciate that. And again I know it's hard to speak for the whole universe of owners out there. But the other question and my follow-on here relates a little bit to coastal. I know last year David you were saying sort of in the -- as you were sort of looking towards a rebound post-COVID that coastal was maybe the area where you thought you could see the steepest sort of V-shaped recovery. I'm curious if that still sort of holds if you think that is -- might have the most juice of any of the areas that you look at.
David Grzebinski: Well, as you know the elasticity of demand so to speak is sharp in the coastal business because just bigger units of capacity and smaller fleet, right there's probably less than 300 coastal hubs – or excuse me ATB barges in less than 200,000 barrels. So it's a much smaller market, so when things start to move and get sporty. It's just a longer process when you think about bringing new capacity in, right, because it takes a good pull-through years to build a whole new unit. So when that market starts to come back, it will snap back probably stronger and stay up longer. It's just a much longer cycle. All that said, as you heard, we're losing money in coastal, it's still a tough market. We're starting to see refined products come back. So that's getting better. With the infrastructure plan, that could be better because there could be a lot of asphalt. We move a lot of asphalt and Black oil products offshore. That said, there's also the overhang of one of our competitors that just went through bankruptcy and we'll see what happens to that equipment. It's been tied up and under maintained. So it's going to cost a lot of money for to be enter the market. But that overhangs out there. We're watching it carefully. Long and short of it, I feel pretty good about the supply and demand situation in the coastal market because there's no new delivery scheduled and it takes two years to build new equipment. So I feel pretty good about the supply. And when I think about demand with refined products coming back, which is the bulk of it gets moved in the coastal business, I feel pretty good about that.
Ben Nolan: All right. I appreciate it. Thanks, guys.
David Grzebinski: Thanks, Ben.
Eric Holcomb: Okay. Operator, we're going to run a little long here and take one more caller.
Operator: Thank you. The last question comes from Justin Bergner from G.Research. Your line is now open.
Justin Bergner: Thanks, David. Thanks, Bill, for fitting me in. Good morning.
David Grzebinski: Good morning.
Justin Bergner: Most of my questions have been answered. So, just a quick clarification question or two and then one bigger picture question. On the clarification side, when you were talking about D&S and high single-digit margins next year, were you referring to the whole segment, or were you just referring to the commercial and industrial side? And then a second part of that clarification question was, you're talking about 90%-plus utilization on the manufacturing and remanufacturing side. Is that just kind of given the current tight labor that you have and that would not be as tight once you brought back some labor? It just seemed like a high number both of those?
Bill Harvey: Yes, we were talking about the whole segment on the margin. And on the labor, we use a lot of variable labor there. So our job is to keep high utilization. So it doesn't – there is volatility a little, because orders come in bunches. We tend to run it over the last year as we realigned as they've done a great job of realigning the business and managing it differently. We tend to run at a pretty high utilization. 
David Grzebinski: Yeah. I would say look Bill's, right. When we talk high single digits next year that's for the whole segment, the manufacturing is a little more volatile, because it's more oilfield focused. The commercial and industrial is a little steadier. But we're seeing – we're hiring in both sides of it, both C&I commercial and industrial and in the manufacturing business. And also, we've talked a little bit about it, but we've got a new digital platform that we rolled out over a year ago. And that's – in C&I, when you're buying industrial equipment that we sell and we represent for OEMs digital platform is getting traction. So that helps, because it's a lower cost to serve right using a digital platform. So we're pretty excited about how all of D&S is rolling up. I do think we'll get back into the high single digits in 2022.
Justin Bergner: Okay. And then just one last big picture question. Clearly, your balance sheet is still levered and you're focused on de-levering. But if you didn't have the leverage balance sheet that you had today, where would you be putting free cash flow to work? Would you be continuing to consolidate the inland industry, or would you be looking at other diversifying sources of acquisition, or would you be focusing on share repurchase? Just trying to get a sense as to where your capital allocation priorities lie once the balance sheet delevering is…
David Grzebinski: Yeah. I would say, continued consolidation in inland is always pretty close to the top of our desire when our balance sheet is strong. But also buying back stock is something we've done over time. So it's one of those two things. I think continuing to consolidate the inland business is a good thing, because that's just good for the whole industry structure. We've got 30 players in there, and I'd love to see it about 15. So we'll see, but yeah, I know that's probably another non-answer but it gives you a feel for how we think about it.
Bill Harvey: And Justin, when you look at the inland acquisitions you can see it in our numbers as I said earlier on the call, we make an acquisition like Savage and that we have huge synergies. We end up having the SG&A to actually has come down year-over-year for inland, which even though we added that. So the synergies are very apparent there and generate a lot of value for us.
Justin Bergner: Okay. Thank you.
Bill Harvey: All right, Justin.
Eric Holcomb: Thank you, Justin. Thanks everyone for joining us on the call today and for your interest in Kirby. If you have additional questions, you're welcome to reach out to me today. My number is 713-435-1545. Thanks everyone. Have a great day.
Operator: This conference has now concluded. Thank you for attending today's presentation. You may now disconnect.